Operator: Welcome to the VICI Properties First Quarter 2025 Earnings Conference Call. [Operator Instructions]. I will now turn the call over to Samantha Gallagher, General Counsel with VICI Properties.
Samantha Gallagher : Thank you, operator and good morning. Everyone should have access to the company's first quarter 2025 earnings release and supplemental information. The release and supplemental information can be found in the investor section of the VC properties website@www.viciproperties.com. Some of our comments today will be forward-looking statements within the meaning of the federal securities laws. Forward-looking statements, which are usually identified by the use of words such as will, believe, expect, should, guidance, intends, outlook, projects or other similar phrases are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. Therefore, you should exercise caution in interpreting and relying on them. I refer you to the company's SEC filings for a more detailed discussion of the risks that could impact future operating results and financial condition. During the call, we will discuss certain non-GAAP measures, which we believe can be useful in evaluating the company's operating performance. These measures should not be considered in isolation or as a substitute for our financial results prepared in accordance with GAAP. A reconciliation of these measures to the most directly comparable GAAP measure is available on our website in our first quarter 2025 earnings release, our supplemental information and our other filings with the SEC. For additional information with respect to non-GAAP measures of certain tenants and/or counterparties discussed on this call, please refer to the respective company's public filings with the SEC. Hosting the call today, we have Ed Pitoniak, Chief Executive Officer; John Payne, President and Chief Operating Officer; David Kieske, Chief Financial Officer; Gabe Wasserman, Chief Accounting Officer; and Moira McCloskey, Senior Vice President of Capital Markets. Ed and team will provide some opening remarks, and then we will open the call to questions. With that I will turn the call over to Ed.
Ed Pitoniak: Thank you, Samantha, and good morning everyone. Over the next few minutes, John will talk to you about our exciting new relationship with Red Rock Resorts and our other growth activities, and then David will discuss our recent refinancing, our results and our increased guidance. To start, I'd like to share my thoughts on what we at VICI anchor to in all times, especially in periods of high volatility and low certainty, and that is working to ensure that we maintain our ability to sustain and grow the current cash income we distribute to our stockholders in the form of our dividend for REIT management team. That should, of course, be standard operating procedure. And because of that, one might think that the sustaining and growing of dividends would be top of mind for REIT investors as well. Again, one would think, and yet, when we meet with our investors, which we do at great frequency, many of them will end the meeting by asking, is there anything we didn't ask about that other investors are asking about? When we are asked this question, we often answer with, well, you didn't ask about our dividend. But don't feel bad, because very few investors do call the old fashioned. But I believe strongly that dividends should always be a top of mind topic, especially for REITs, but frankly, for most equity investments, as I'm sure you all know, over the long term, the last 100 years, dividends have contributed about 1/3 of the S&P 500 total return, and that's despite the fact that the long term dividend yields of the S&P 500 has averaged under 2% over the last 30 years. Given a greater dividend yield of REITs dividends, of course, matter even more to read total returns as of yesterday's close, the trailing five year total return of the RMZ REIT index was 54% of which 27% was price return and 27% was dividend return. Over that site, same five year period, which I should note, started in the spring 2020 COVID drawdown for stocks. VICI has generated 138 percentage points of total return, of which 84 points come from price return and about 54 points come from dividend return. I will also note that during that same five year period, the S&P 500 generated 106 percentage points of return, of which 91 points were price return and 15 points were dividend return. And as you can see, over that five year period, dividends were a major factor in VICI outperformed the S&P 500 by a margin of over 30 percentage points, or by about 30% over the last year two. Especially given the mag seven dominance of investor mind and market share, dividends didn't get a lot of attention, but it's been interesting in recent weeks, amidst the volatility of both equity and credit markets, to see dividends being talked about again. One of my favorite readings each week is Michael Hartnett's weekly flow show bulletin, which tends to come out late Thursday evening, early Friday morning, in the April 11 bulletin, in this admittedly, admittedly cryptic way, Michael made the following points, and I quote on portfolios, we say a own credit, eg, long dated, high quality, US corporate bonds, many yielding five to 6% B on equity income. 71 companies within the S&P 500 have a dividend yield greater than 4% 41 have a dividend yield greater than 5% buy stocks that can defend dividend unquote. Did you get that is you get Michael's point that as of his writing on April 11, only 71 companies in the S&P 500 had dividend yields about 4% and only 41 had dividends above 5% what's notable about those dividend yields, especially the greater than 5% dividend yield, is that those yields are comfortably above the current rate of inflation, and then thus generate a meaningful real return in a world where real return matters as much as ever. As a fellow VC stockholder, it gladdens me to point out that as an S&P 500 stock, VC currently offers a dividend yield greater than 5% and we believe that that dividend yield is, to paraphrase Michael Hartnett, a defended dividend. In the coming weeks and months, equity market volatility may die down or it may not. Who really knows, but whether market volatility dies down or not, a well defended dividend can, and I believe likely will be a significant contributor to total return for the market as a whole and for VC and its stockholders, everything we do at VC is ultimately about total return in all of its key components. And so now I'll turn the call over to John and David, who will talk further about what we're doing to drive total return over the near and long term through our growth activities and through balance sheet and cost of capital optimization. John?
John Payne : Thanks, Ed. Good morning to everyone. VICI is very proud of our core ability to develop relationships and convert them into valuable long term investment partnerships. Not only were we able to successfully do this with Kane and Eldridge teams in connection with one Beverly Hills earlier in the first quarter, but subsequent quarter and we closed our first transaction in partnership with Red Rock resorts, connected to the development of a casino on tribal land in central California, as announced in our earnings release last night, on April 4, Bucha committed up to $510 million of a delayed draw term loan facility for the development of the North Fork Mono Casino and Resort, which will be developed and managed by Red Rock resorts. Red Rock is a premier gaming development and management company that operates productive assets in attractive geographies, and they developed over $9 billion of regional gaming and entertainment destinations. They are also an established leader in Native American gaming. Have developed and manage tribal casinos for over 20 years. Red Rock broke ground on the North Fork project in September 2024 and expects it to be completed by September of 2026 Upon completion, the casino is expected to feature 2400 slot machines, 40 table games, two restaurants, three bars, a food hall and a small retail offering the 305 acre site located in Madera, California, directly adjacent to highway 99 where 4.2 million people live within a two hour drive of the North Oak site. This transaction established a formal relationship between Vichy and Red Rock and represent Red Rocks first partnership with a REIT for Vichy. It represents our first gaming investment on tribal land and our second investment on tribal land overall, with the first being our Great Wolf Northeast loan announced in February of 2023 lending on tribal land in partnership with a high quality gaming operator in Red Rock demonstrates beaches ability to drive high quality opportunities for continued investment in the gaming sector. Another benefit of VICI relationship based approach is that it fosters close communication with each of our tenants. Having just 13 tenants and eight financing partners on our roster allows us to maintain consistent and frequent dialog with all of them, which is particularly advantageous during this volatile times such as these. We believe this level of communication, coupled with the monthly financial reporting received from the majority of our tenants, provides VICI with strong oversight of our portfolio, looking across our portfolio, we continue to be big believers in Las Vegas, as there are just so many unique demand drivers that continue to fuel the city's activity. For example, over the Easter weekend, Las Vegas hosted WWE WrestleMania at Allegiant Stadium, drawing nearly 125,000 fans and marking the largest gate for any event in WWE history, T mobile arena is also hosted, as recently hosted packed houses for Stanley Cup playoff games, and the musical talent at the sphere remains a compelling draw for the city. Additionally, during the first quarter, 10s of 1000s of guest attending conferences hosted by companies like Home Depot and Adobe, flooded the city with activity, while a potential international travel slowdown has come into question, we would note that only 12% of Las Vegas visitation in 2024 was from international travel, travelers. It is also possible Las Vegas may benefit from a domestic trade down effect if Americans forego international destinations in regional gaming, we continue to monitor the landscape, and based on prior periods of heightened market volatility, we expect performance to be relatively resilient. Property Performance will vary based on geography and asset. And at VICI, we focus on working with our tenants so they feel positioned to continue to successfully operate the properties we own. Like I said, partnership is at the core of what we do. It is one of the key factors underlying our success in building this company as it drives current and future opportunities and allows our team to consistently seek to create value for our shareholders. Now I will turn the call over to David, who will discuss our financial results and guidance. David?
David Kieske: Thanks, John, it's great to speak with everyone today, and we greatly appreciate your time, starting with our Q1 capital markets activity and balance sheet. At the end of the quarter, we very successfully addressed all of our 2025 maturities, and now we have no debt maturing until September of 2026 on March 26 we priced our bond offering, and at its peak, our order book was six times oversubscribed. We issue $400 million of three year notes at a coupon of 4.75% $900 million of 10 year notes at a coupon of 5.625% or a blended coupon of 5.34% including the impact of our hedging program. During the quarter, we also sold 7.8 million shares, raising 250 4 million in gross proceeds under our ATM via the forward and as I mentioned on our last call in February, we recast our $2.5 billion unsecured multi-currency revolving credit facility and extended the maturity until 2029 providing us additional duration and an ample source of liquidity. We have approximately 3.2 billion in total liquidity, comprised of approximately 330, 4 million in cash, 620, 5 million under our standing forwards and 2.3 billion of availability under our revolving credit facility. Our net debt to annualized first quarter adjusted EBITDA, excluding the impact of unsettled forward equity is approximately 5.3 times within our target leverage range of five to five and a half taking into account our recent bond refinancing activity, we have a weighted average interest rate of 4.47% as adjusted to account for our hedge activity, and a weighted average 6.7 years to maturity, our proactive risk management of our cost of capital, of our balance sheet and of our liquidity profile through volatile markets, allows our team to stay focused on building relationships and our investment pipeline. This allows VICI to continue pursuing our sustained and sustainable return goals for our shareholders without having to go pencils down for any period of time. Just touching on the income statement, AFFO per share was $0.58 cents for the quarter, an increase of 4.3% compared to $0.56 cents to the quarter ended March, 31 2024 our results once again, highlight. Our highly efficient triple net model, given the increase in adjusted EBITDA as a proportion of the corresponding increase in revenue, our margins continue to run strong in the high 90% range when eliminating non-cash items. Our G&A was $14.9 million for the quarter, and as a percentage of total revenues, was only 1.5% which continues to be one of the lowest ratios, and not only the triple net sector, but across all leads. Turning to guidance. And as we noted in our release last night, we are raising our AFFO guidance for 2025 in both absolute dollars as well as on a per share basis, AFFO for the year ending December 31, 2025 is now expected to be between $2.47 billion $2.5 billion, or between $2.33 and $2.36 per diluted common share, compared to our prior AFFO per share per share guidance of $2.32, to $2.35 the raise represents an increase of a penny at both ends of the range. Based on the midpoint of our increased 2025 guidance, VICI now expects to deliver year over year, AFFO per share growth of 3.8%. Just as a reminder, our AFFO guidance, excuse me, does not include the impact on operating results from any transactions that have not closed, interest income for many loans that do not yet have final draw structures, possible future acquisitions or dispositions, capital markets, activity or other non-recurring transactions or items. With that operator, please open the line for questions.
Operator: [Operator Instructions]. Our first question comes from Steve Sacra from Evercore ISI.
Steve Sacra : I guess I wanted to focus on the newest deal and maybe just get a little bit more color on, you know, kind of the, I guess, the draw of the property given the location, you know, it's reasonably far from, say, the Bay Area. I heard, I think, John's comments about the local population, but I guess, is it fair to assume that you're, you know, this resort is really being designed to just tapped at Central California market. Do you expect other kind of draws into the area? You know, just trying to get a better feel for kind of what's going to attract people there. And then secondly, given that it's on Indian land, how does the collateral work to the extent something doesn't work out? I don't think you can own, you know, property on casino land. So just trying to understand sort of the protections VICI has in the lending structure.
John Payne: Steve, John Payne, talking. Nice to talk to you this morning, we spent a lot of time over the years. First, we'll start with getting to know the operator of the business, Red Rock resorts. This first opportunity to work with them, but we've known them for years. We've followed what they've done in Las Vegas. We've watched their development, most recently, the Durango facility that's being built and is already being expanded. So we've been incredibly impressed with the way they operate their businesses, the way they run the facilities. And obviously you could argue they are the best developers in the gaming space. They've been working on this facility with the nation for over, I believe, over 20 years, and have studied how successful this can be. The catchment area, as I mentioned in my opening remarks, is, is large, and I do think there is, what we've seen, is there the last move or advantage or new business can attract new customers and steal customers from others, particularly when you have a great operator who understands the way understands customers the way that Red Rock does, so we were very excited to work this opportunity and to announce this first deal with Red Rock. I'll turn it over to David here, who worked on a lot of the details of this deal. Yeah, Steve, good to talk to you. And just in terms of location, and the location is phenomenal, as John mentioned in his comments, is right off the highway 99 you know, four and a half million people go by the site. The competition in the area is, will be far, is far inferior to the quality of the build the Red Rock is developing here, and the draw that this facility will have in the area. And it's just in terms of, you know, other ways that we got comfortable with it this and this Red Rock went out to raise this capital, and we participated in the syndicate of large money center banks. So, you know, the total loan 725 million, were 510 million of that commitment and just given Red Rocks experience, as John alluded to, there is a guarantee from Red Rocks to complete the project, and we felt really good about stepping in and developing a relationship with Red Rock, who is just one of the best developers out there in gaming as well as travel gaming facilities.
Operator: The next question comes from Barry Jonas from Truist Securities.
Barry Jonas: I was just curious. You know if your view on tribal sale leaseback has changed at all? Obviously, you've done a lot of work on it, and this deal brings you a little bit closer, not quite there yet. So thanks.
Ed Pitoniak: Yeah, I'll start and John and David can add in tribal tail lease backs continue to be for us, a complex subject we haven't entirely figured out. You know, [indiscernible] was right to ask about the collateral on a lending package of a casino on tribal land, but especially with the involvement of Red Rock, we have a high level of confidence that the asset can perform and that our collateral is good, and it's obviously in the interest of the tribe that Red Rock be able to operate the property successfully, and that our loan eventually be able to be paid off when it comes to a sale lease back, I would say we still haven't exactly figured out if we can get comfortable with the nuances of owning property on a tribal land, given the fact, as Steve alluded to, in the event of any kind of default, we As the owner of the building, would not have the right or the opportunity to operate the gaming, which is obviously the economic engine of the asset. So I would say at this point, we are still very much in a learning phase, but very, very glad to be to be partnering with the tribe and with Red Rock in this opportunity. David or John, anything you want to add?
John Payne: No, you covered it all.
Barry Jonas: Great. And then, just as a follow up, you know, given the macro environment, I'm just curious if you're seeing tariffs impact any of your partners in terms of their construction budgets or timing. You know, any impact to maybe draw on top schedules or else future discussions for pipeline? Thanks.
Ed Pitoniak: Yeah, no, it's a very good question. Barry, and you know, as a general principle, there are obviously general conditions across the construction landscape. And you know when it when it comes to dental conditions you really want to be able to understand. Are you partnering with a development company that is very experienced in development, through thick and thin, or are you partnering with an operator with a deep and successful track record of development? So whether it's Kane at one Beverly Hills, which is a dedicated development company, or Red Rock, which is an operating company with a very proven track record as a developer, as John pointed out, a $9 billion development track record. We're very confident in their ability to manage the variability associated with tariffs, and in particular, get in front of them. And David has been very close to Kane as it's gone through the planning and costing of this project on every land they call her on how resourceful and anticipatory they have been when it comes to the whole tariff.
David Kieske: Yeah, they're obviously understanding the magnitude of what they're building, getting ahead of the tariffs, as best they possibly as best as they possibly can. Even developing hedging strategies around being a little bit kind of groundbreaking, around hedging potential future purchases, around raw materials, but knowing that they have the right contingency and the right development experience in place to ultimately get this bill gives us comfort.
Operator: The next question comes from Anthony Paolone from JPMorgan
Anthony Paolone: Great. Thanks. Good morning. I was wondering if you could talk about what the pipeline has looked like lately in the face of just the macro volatility, and whether there have been any changes in the types of things that you're seeing, types of deals that folks want to do or don't want to do, geography so forth.
Ed Pitoniak: Yeah, I'll turn it over to John in a moment here Tony, but you know, I feel a little bit like we're living in Groundhog Day, because I think at beachy, we've been talking about volatility for a while now, and one could say, Vici are ever going to stop talking about volatility? Going to see. Should have been a reality of our life now for at least a couple of years. And I think we would be foolhardy to have a house view at BG that is going to die down anytime soon. It certainly affects, I think, on a most fundamental level, Tony. It certainly affects animal spirits around M and A, and the growth ambitions that usually drive M and A, I would say, across the gaming spectrum and narrowly and the experiential spectrum more broadly, these volatile conditions and the uncertainty around both economic conditions and capital financing conditions have somewhat diminished. Animal spirits around growth and growth by operators is, we believe, the biggest driver of the demand for our kind of capital, and the role our capital can play in operators, either developing new assets or through M&A, growing their store count, and having summarized sort of the general conditions. I'll turn it over to John for more specific color.
John Payne: Well, Tony, Ed answered that very well. Really, quarter to quarter, things don't change that quickly in the spaces that we look at is my opening remarks talked a lot about relationship based approach, and my colleagues are always tired of me saying, you don't do a deal at the first lunch. So we continue to spend time with operators, not only in gaming, but in other forms of experiential we educate them on our how our capital can work. And you know, we continue to see if there's opportunities where we can be valuable during this time, ensuring that it's accretive for us and valuable to them.
Anthony Paolone: Got it. Thanks. And then just one follow up on the guidance, how much in committed capital for various projects and loans, etc, is not in the guide, because there's not a draw schedule just wondering, like, how much, like, you kind of have, but just didn't put in at this point.
Ed Pitoniak: In the guidance Tony it's about 130 million of committed capital I'd have to get back to you outside of that, I just kind of know what's that, and that comprises finishing up Great Wolf, Northeast Homefield, Kalahari also starting up, as well as, obviously, the North Fork investment that we just announced. I think Tony, it would be fair to say a lot, but we will come back to you with a more precise answer than a lot is outside.
Operator: Next question comes from Caitlin Burrows from Goldman Sachs.
Caitlin Burrows: First, maybe a follow up on that last question, and congrats on the new relationship with Red Rocks. Can you give any details on why you think they came to you for development funding? I think you mentioned that it is part of a larger syndicate. And then, do you have any insight on how the timing of the funding could play out, which, again, I feel like is what just was asked. And maybe the answer is no, but confirming
John Payne: Caitlin, it's John, I'll start and then turn it over to David. That seems the rhythm of this call right now. But look, we have, we have followed with great respect, I guess, of the Red Rock since we started the company, even before my time, when I was a former casino operator for 23 years, I watched Red Rock and watch what they they've operated, and really watch what they've developed. So as then I started the company, back in 2017 he asked me the companies that I had great respect with and one of them was obviously Red Rocks, and went out and started to be build a relationship. It's it is started that far back, and there just hadn't been any opportunity for us to work together. And so as they, as we talked through the years about this opportunity coming to them, developing this opportunity, we obviously were in the loop from the start, and had a good conversation, and we're excited to be a part of it. And then Caitlin, in terms of just the funding cadence, this is a construction draw schedule, you know, we put an initial 75 million upon closing, but it'd be a little bit more regular cadence between now and, as John said, September 26 when it opens up. So we're excited about the ability to deploy capital on a consistent monthly basis.
David Kieske: I will just add Caitlin that for those who don't follow gaming our read and. Center read investors to understand Red Rock, you really need to understand and experience, moreover, the quality of what they build and the quality of their operation. I think John, it would be fair to say it is strip level quality, even when it is off strip as most of their assets, as all of their assets are. And if you were in Las Vegas, I think we highly encourage you to visit their assets, like the Red Rock sort of anchor in Summerlin, or their new asset, Durango, which is, as John says, very comparable to what you can expect them to be building with their partners involved for
Caitlin Burrows: Got it, and I know that there's limited detail you guys can give us on future, but I know that when you guys establish these relationships, it's not with the intent of doing a single deal. So considering that and all the development Red Rocks has done in the past, I'm wondering how you think about that future opportunity with them. Are you thinking it would be more development? Are there still lease back opportunities something else?
Ed Pitoniak: Okay, right now, there's no other opportunities. It's a one, one transaction with them. I think the question you're asking is, in the future, if Red Rock was growing their business? Would we be interested in helping them grow in a variety of ways, whether it was sell the real estate, whether it was another opportunity to develop the answer is absolutely yes for the right opportunity, and obviously it's got to be accretive for us and work for them. But I hope you hear from our remarks, we have tremendous respect for how they run their company, how they develop their projects, how they build partnerships with tribal nations. We really like all of that, but it's to be clear, this is one opportunity, and only one opportunity today, but we would hope or we would love the opportunity in the future, but no commitments.
Operator: The next question comes from Richard Hightower from Barclays.
Richard Hightower: Thanks for taking the question here, just maybe a little more of the nuts and bolts on the tribal side and the deal with Red Rock. But just, just to be clear, Red Rocks, the borrower, the collateral package that VICI would have an interest in, it sounds like has really nothing to do with the land itself, but it really would be just the construction that sits on top of the land. Just help me understand kind of what that is, and you know a little more about the security of anything you know might ever go wrong. And obviously, you know, doesn't sound like it ever would. But just help us understand that. And then you know, secondly, it does sound like tribal lending. Is this, you know, much bigger opportunity than maybe any of us sort of appreciated, you know, sitting here 12 months ago, and just help us understand how that landscape has evolved and changed. You know, now that GLP eyes announced the deal you guys have now have announced, you know, this, this deal, you know, just help us understand the moving parts there as well.
David Kieske: Yeah, right, it's David, I'll start and then chime in the bar is actually the tribe north, north. Providing the construction guarantee, or completion guarantee, to get the project built, the oversight, the expertise that we talked about, that they bring to the table. And so the collateral is the building. But obviously we talked about in this call and other calls, you know, taking that back is very difficult, and given the fact that the tribe is the only entity that has the right to operate gaming so we've got Full Faith and Conviction around Red Rock and their buildings, the fact that they're putting up their they've put up their balance sheet to provide the initial funding, this loan will complete the funding. And as I mentioned, there's a whole host of money center banks that have come into the syndicate to provide the financing for the development here.
Samantha Gallagher: Yeah, just one other thing to add. This is Samantha, with respect to the collateral package, we also have a first priority security interest in the future cash flows and revenues from the gaming activities and answers, but includes, inclusive of the gaming, and that's an important port point. And also when we think about lending, tribal lending, versus a sale, lease back, it's also thinking about the LTV or the LTC, which is different than your percentage interest when you're looking at what your quote, unquote collateral, when you already own the building and can operate. And so we view them as different when you think about where we are on the risk spectrum. And I think when you're COVID, when you reduce it all to -- was just going to say, when you reduce it all, go ahead. Yeah. This is all. This is all dependent on it, ultimately operating successfully. And again, the involvement of a proven operating partner, proven. Across the gaming landscape, broadly, but specifically in tribal gaming, and specifically in California, gives us a lot of comfort. And I really would not minimize the importance of that completion guarantee either from Red Rock.
Richard Hightower: Okay. And then I guess the second part of the question just, you know, maybe more broadly about the tribal lending landscape, and, you know, maybe help me understand too, if there were other traditional lending sources for a lot of these projects historically, you know, what has other than pricing, you know, maybe there's more to it. You know, what has caused the reach, you know, to kind of have an opening in the way that we've seen in the last, you know, few quarters here.
Ed Pitoniak: It's definitely something we continue to look at, Rich. I'm not here to say that there's, you know, 20 opportunities out there, but it's definitely a part of our business that we're studying better understanding, as Ed just walked you through, not all deals are the same. Not all deals have an operator, like Red Rocks running it, but it's something that we're looking at. I don't think you should say this is something the REITs have been looking at just the past two quarters. I think you're what you should know is, at least from a Vici perspective, these are things that we study for years, and it doesn't mean that it shows up and we looked at it for three months. So this is something we've been studying for years. There have been others that have been involved, been involved in this type of lending over the decades that tribal casinos have been developed all over the United States, but it's something that this particular opportunity was one we were quite excited about. And obviously we announced, announced that investment here over the past coming days.
John Payne: You know, just to kind of reiterate what I said to Tony, Rich, you know, growth creates a demand for capital. And you know, as you look across the US gaming landscape, California is still a relatively young gaming jurisdiction. I think John gaming has been in California now for maybe 28 years, and it is only tribal gaming in California, so there is still white space on the California gaming map. Tribes are gaining the opportunities to put new stores onto that map, and that's creating a need for capital they don't necessarily see everywhere else in the country at this point.
Operator: The next question comes from Smedes Rose from Citi.
Unidentified Analyst: Thanks. It's [indiscernible] you could touch on your expectations for the century casino lease. I know it's a small part of rents overall, but do you feel comfortable that the recent CapEx investments that those properties will help improve coverage?
Ed Pitoniak: Very good question. And I'm smiling here because we had part of our organization in the assets, actually, two days ago, visiting the assets, visiting with the teams, looking at the new construction, looking at the new casino that was put in place, and talking about the great numbers that are coming out of there in my opening remarks. You know, one of the things that's great about beachy and the way that we're structured is that we have constant communication with our operator. We also get, for the majority of our operators, we get monthly results. We have conversations with them about how the business is working, how they think about capital. So a century is one of them, but you'd expect, are you? I think you'd hope that we're having conversations with our large operators and MGM or Hard Rock or others that that we have assets with. But it is exciting to see the new development we helped finance really take off down in the Missouri, Missouri properties, and we'll continue to see if there's ways, over time, we can put money to work with, with Century, as well as with some of our other operators.
Unidentified Analyst: Thanks. And then I guess just one other partner you, you didn't mention there was Caesars. And obviously we've received some questions on the regional casinos, and I know there's 10 years remaining on that lease, but you know, how are those conversations going? If they are, you know, just given current coverage.
John Payne: Yeah, Nick, good to hear from you. I wouldn't say there's any burning conversations of any kind between us and seizures around. A regional Property Performance, we obviously continue to be pleased at the magnitude of capital that seizures has been and continues to invest in our assets, both on the Las Vegas Strip and in the regions. You are obviously seeing, we are seeing the benefits in real time of the 300 odd million they put into New Orleans, John, obviously, a couple 100 million into Atlantic City, the recent announcement of 160 million of their capital into Lake Tahoe, we think, is pretty strong evidence of Caesar's willingness to continue to invest in these properties and drive this kind of performance, that ultimately should lead to rank coverage we're all happy and satisfied with.
Operator: The next question comes from David Katz from Jefferies.
David Katz: So with respect to the Red Rock arrangement, I don't know if you're able to sort of characterize what the capital structure you know of that property is, you know, setting up to be and or, you know, any comments around pricing you know, on the loan that that may be helpful, and as a part of that, you know, bigger picture, you know, how you look at, you know, opportunities and the risk profile of them, you know, relative to sort of where you were, 123, years ago. Is it, you know, still the same. And, you know, is there some progression in kind of risk profile as you look at stuff today? Thanks.
David Kieske: Good to talk to you. Let's start with the loan. You know, as we talked about the 720, 5 million odd total facility comprised of two term loans, Term Loan A and Term Loan B are blended all in yield is so for right around seven that includes some incremental fees and whatnot, on the capital that we committed the 720, $5 million away draw term loan will be, will be the development funding for The project, and then we are comfortable with the capitalization and the support that's coming from Red Rock and their expertise around getting this open and really the location. And you look at the competing product in the area, it's far, far inferior to what the Durango esque style facility that will be built here in the dairy California. And in terms of our risk appetite, I think we continue as we talk about it, VICI, we have a table of learning. We continue to learn internally and study different opportunities. And as we've noted on this call, we've looked at tribal for years and partnering with the right operator in the right location, and doing things with the right guarantees and right structure we get comfortable with that and the ultimate return that we earn on that capital that we deploy. So, you know, I think we spend a lot of time ensuring that we put our capital out in ways that make sense. And as I talked about protecting the dividend, but also ensuring that we get that capital repay.
Ed Pitoniak: Yeah, and I'll just add David that you know it investing in any category, but in particularly in our investment category, general principles only take you so far, and so any kind of general principles we might hold about tribal gaming are just not that useful in us ultimately making investment decisions, and we make investment decisions based entirely on specifics, not generalities. And the specifics of this investment opportunity were very compelling the involvement of a highly proven, highly successful developer, then also happens to be a highly proven and highly successful operator. Those specifics were incredibly important to making this particular decision, and any future decisions we might make, whether around tribal or commercial, will always again be made on the specifics.
Operator: The next question comes from [indiscernible] from Mizuho.
Unidentified Analyst: Hey guys, good morning. I guess I'm curious if we should also be reading into the Red Rock construction loan that perhaps you'd be more comfortable being a construction lender more broadly, under the right circumstances and with the right partners. So perhaps can you talk about your appetite and doing more of that type of loan activity going forward, and also some thoughts on the underwriting of the loan and the required return that you have there. Thanks?
Ed Pitoniak: Yeah, I would really reiterate what I just said in response to David, that it would be, it will always be highly specific. We do not have a general strategy around construction funding. We have a general strategy around relation develop, relationship development and identifying experiential partners we would like to have a relationship with and grow over time. And if helping them finance a development opportunity is the way to start the relationship, we will certainly look at that energetically and yet rigorously. And you can see in both the cane and the Red Rock situation, we are being driven by the opportunity to establish relationships, and not really specifically being driven by a desire to become a construction financier.
Unidentified Analyst: Appreciate that, and maybe a follow up here, just speaking of relationships, curious, if there any room for opportunities with any of your other partnerships that could be attractive to you here? Thank you.
Ed Pitoniak: I didn't hear exactly the question, but I think that it was, are there opportunities to grow with our current set of 13 tenants and eight financing partners? The answer I'll give you is, I hope so. I think that's always been the way we have talked about this and why we don't have 100 tenants right now. We have 13, and I'm sure over time, they'll go to 14, 15, 16, but part of our strategy that we we've talked about since we started the company, was to find the best in the business and help them grow over time, while also adding new tenants as well as New financing partners to grow the business accretively.
Operator: Next question comes from Daniel Guilherme from Capital One Securities.
Daniel Guilherme: Thank you for taking my questions. The March and April trend commentary for your big public partners in Las Vegas have has been very positive this earnings. Can you give us a sense if you're hearing the same things from the non-public partners on the strip? So I guess the Venetian Complex [ph] and then maybe Fountain Blue investment book.
Ed Pitoniak: We're very excited. Nice to talk to you, Daniel. We were very excited. Obviously, we see some of the numbers before they become public at times, and we're very excited to see Las Vegas continue to be quite successful and growing. As you heard in my comments. We like Vegas so much because there's so many different what I call cash registers for and reasons for consumers to come to the city. MGM and Caesars were talking about their business. The Venetian has a robust business. I was just out there myself, and I know Ed was as well, enjoying our time at the sphere and watching how that brings in a whole bunch of new consumers to not only the Venetian but really brings a new consumer set to Las Vegas, which is great to have a city like that. So Daniel, the answer is, Vegas seems to be continuing to have to have a very good run. Part of that the credit goes to the operators, because they continue to find different ways to attract not only their existing customers, but new customers. And there's no better group than the group that runs Las Vegas. So we're excited to be so invested there and owning those assets, because I know that the people who do will continue to find ways, no matter what the economic conditions are to grow their business.
Daniel Guilherme: Great. Thank you. That's really helpful. And I did like your point on the potential trade down more people to Las Vegas, and then on the second one. So you all have a wide range of partners. Sean, I think you mentioned 21 both big and small with very different risk characteristics. And given the confusing macro, can you just talk about the team's approach to risk, and if there's a formal risk process in place to flag and work through any issues that you see developing over the next few years? Thank you.
Gabriel Wasserman: Yeah. Hey, Dan, it's Gabe Watson here. I can take the first part of that question, and others can weigh in as well. But you know, since we founded the company in 2017 we've had a pretty rigorous risk management process. We meet as a management team every quarter. There's two separate meetings. One is to go over the performance of our tenants and our tenants and the lease investment. Programs, and there's a separate meeting to go over our borrowers and the performance of our loan investment. So as a management team, a lot of visibility into the performance of our investments and a lot of discussions and rigorous underwriting and monitoring.
Operator: The next question is from Ronald Camden and Morgan Stanley.
Unidentified Analyst: Hey, good morning. This is Jenny in for Ron. Thanks for taking my question. I think my first ones regarding the Caesars Forum Convention Center call options you have later this year, what is your latest thoughts on the deal? And if you would like to exercise on that?
Ed Pitoniak: Yeah, very good question. That call becomes live here later in the fall. It's September of this year. I don't have the exact date, but I believe it's late September of this year. I think your question is, do we like the asset? Is it a beautiful asset? How is it performing? It is something that we'll continue to evaluate as that time comes. Caesar's built in just a beautiful place and is using it effectively, as I my last comments of driving new business and new meeting business there. So we are aware of that opportunity. We've got a window that's quite wide, and we'll study the opportunity that when it comes.
John Payne: I'll just Jenny, I just going say, before you ask your second question, that our decision making is always guided by solving for total return, as I, as I spoke of in my opening remarks, and as we look at the building blocks of our total return, those building blocks are dividend yield, same store, NOI levered into AFO per share, and then external growth. And we try to optimize our timing around any kind of opportunities like that, such that we are solving fundamentally for sustained and sustainable, superior total return. So that really is the calculus that guides so much of our decision making around not only what we invest in, but when we invest in it.
Unidentified Analyst: Makes sense. I think the second one is regarding the strategic relationship with K International. I'm just curious if there's any incremental conversation this quarter we've done, like, what other kind of experiential investment opportunities are you looking to pursue together beyond the Beverly Hills project?
Ed Pitoniak: Yeah, well, there they are involved in a lot of experiential categories we are fundamentally interested in, and I will just say one example, and that is their investment in a facility called the St James, which is just outside of Washington, DC, and is very much like Chelsea Pierce. They've been very open and energetic about their growth ambitions for the St James as ultimately a network of facilities across the country, and we've enjoyed very much the conversations we've had on, I must emphasize a very preliminary basis on how we might ever be of service to them in growing that network.
Operator: The next question comes from [indiscernible].
Unidentified Analyst: Good morning. Thanks for taking my question. [Indiscernible] recently had a deal with star in Australia. You guys have interest in participating in that, or maybe in Australia more broadly.
Ed Pitoniak: If you've been following us for a while, David and I spent some time down under About two years ago, visiting Australia and New Zealand and understanding the landscape, obviously the market in Australia, particularly where the assets are for the star has gone through radical change, not only structure, balance sheet, structural issues, but the regulators and the regulations of those businesses have changed and have had a real put, a real hurt, I guess, is the best way on the business right now. I think your question was, would we be involved in an opportunity with the star in laws in Australia? The answer is no.
John Payne: Sorry, Max, I was just going to add really one key predicate for any investment we ever make is having as high a degree of visibility and confidence around what the future earnings profile of a given asset will be. And right now, given the turmoil on the in the regulatory landscape and its impact on the economic performance of gaming assets in Australia, it is very difficult to have any visibility or confidence around what kind of money these assets are going to make over the longer term.
Unidentified Analyst: Understood. Thank you for that, and maybe zoom out and take it at a higher level, other than economics and accretion, could you talk about some of your top strategic priorities in your current opportunity set, whether that might be tenant diversification, geographic diversification, or maybe something else?
Ed Pitoniak: You know, I would say there's really a couple of key result areas we really focus on. I've already talked about, obviously, our ceaseless dedication to building total return on a sustained and sustainable basis. But as well, it's obviously doing what we can, all we can, to weatherproof the business as best we can. No business is obviously ever absolutely weather proof. But I am so glad and so proud of the work David and the team did, for example, in getting the refinancing done when we got it done, and against this backdrop of volatility and low visibility, a paramount focus of management will continue to be being highly anticipatory of what is potentially coming, and being as ready for it as we can and Protecting our capital and the cost of our capital,
Operator: Our final question today comes from [indiscernible].
Unidentified Analyst: Thanks for taking my question. Just one quick one for me. There was some news regarding New York gaming, I'm curious what your latest thoughts on the New York gaming license processes and what VICI will be doing from now till decisions ultimately made.
Ed Pitoniak: Yeah, exciting, exciting times and some of the news that's out there. By no means am I going to predict when a license will be granted or the three licenses will be granted. It does seem like there's momentum moving for the RFPs to be put in by the end of June, early July. I think you know that one of the bidders is going to be MGM at the site that we own, the real estate in the buildings. There are other very exciting opportunities that are in the news that could win one of the licenses. But we are standing by better understanding the circumstances. Obviously, we're a big fan of the MGM bid, simply because the asset is one that is ours, and we would hope that we would help our current tenant and MGM grow that should they win one of the three licenses. So like you will continue to watch and continue to read the paper and better understand as it gets closer you
Operator: I will now hand the floor back to Ed for some closing comments.
Ed Pitoniak: Yeah. So we know that all of you, whether your analysts or investors, are incredibly stretched in right now given the volume that companies reporting. So we cannot express deeply enough our thanks for your time and attention this morning and your continued support and bye for now.
Operator: This concludes today's call. Thank you very much for your attendance. You may now disconnect your lines.